Operator: Good afternoon, ladies and gentlemen. Welcome to Research Frontier's Investor Conference Call to discuss the Fourth Quarter and Full Year 2020 Results and Recent Developments. [Operator Instructions] This conference is being recorded today. A replay of this conference will be available starting later today in the Investors section of Research Frontier's website at www.smartglass.com and will be available for replay for the next 90 days. 
 Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plan, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. 
 The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. [Operator Instructions]
 I would now like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir. 
Joseph Harary: Thank you, Paul, and good afternoon, everyone, and thanks for being here. I'm going to try today, because we have a lot of ground to cover, to incorporate a lot of the questions that we did get prior to the call into my presentation. But the things we're definitely going to be talking about today are Cadillac, Hyundai, Airbus, Gauzy and even View. 
 Last year, at this time, the world began to shut down. Some people said the world hit pause, but some people view this as a complete reset in the way we do things. It has been both negative and positive for Research Frontiers. COVID-19 not only has affected every business in the world, it also took a dear -- my dear father in law in April, and my father 6 weeks ago. Many of you have also lost loved ones since last year, and I'm sorry for your loss. 
 My father, Maurice Harary, was 104 when he was generally taken from us, lived a wonderful life filled with friends, family, hard work and success. He also proudly served his country when he was U.S. Military Counter-Intelligence during World War II. Some of the things he did back then could have been put into a movie, have they not been classified. He helped toward a plot that could have changed the course of the war. I am proud to have been his son and to learn so many things from him throughout my life. 
 Despite adversity, we move forward, and Research Frontiers has definitely advanced this past year despite the global pandemic and supply chain issues that affected all industries and continue to affect them today. So let me take some time this afternoon to reflect upon and discuss with all of you the past year and the year to come. 
 As outlined in prior conference calls, our revenues in automotive for 2020 were affected by 2 factors: number one, industry-wide production halts due to COVID-19; and two, the end of the 9 years that we were on the Magic Sky Control SmartGlass roof option on certain models of cars within Daimler. You saw this in the first 3 quarters of this year, so the fourth quarter revenue numbers are pretty much in line with this. 
 Offsetting that in automotive were some very important positive developments. Our SPD-Smart film licensee, Gauzy, announced in April a Series C investment from Hyundai Motor Company and Avery Dennison, among others. Since then, things have been moving even more quickly than originally expected within Hyundai. At the end of our last conference call in November, I noted that in automotive, we make cars more energy-efficient, reduce CO2 emissions by 4 grams per kilometer and increase the driving range of electric vehicles by up to 5.5%. We also make people more comfortable and safer and protect the interiors of cards. 
 And as Bentley has noted in their public presentations about the future of sunroofs within Bentley, there is a greater need for SmartGlass roofs because of the movement towards fixed non-movable panoramic roofs in cars. Bentley noted that SPD-SmartGlass can also reduce weight in the roof by up to 13 pounds and eliminate the need for 54 components. This reduces costs, assembly time and further increases driving range and reliability while contributing to the stability of the car on the road. 
 Let me also take a moment to note that Bentley is one of the companies that recently announced that they, too, were going all electric, joining a rapidly growing list of major automakers that have announced that they are moving towards only offering electric vehicles. For those that listened to our last conference call, I said that I believe that the auto industry is certainly hearing our message. Since then, this was shown to have indeed been the case. 
 In late July, I drove to Detroit to sign a license agreement with Daimay, the world's largest producer of sun visors. On that same trip, I met with several other automotive manufacturers, including General Motors. It seems as if our message about the benefits of using SPD-SmartGlass technology in cars, especially electric vehicles, was received loud and clear. After numerous development meetings and discussions that started at an industry conference that I spoke at several years ago, Cadillac announced in January that their new ultra luxury all-electric flagship vehicle, the Celestiq, will be coming out and offering an SPD-SmartGlass roof that gives passengers the ability to control the amount of light coming into 4 segments of the large panoramic roof on the Celestiq. They launched this flagship Celestiq at CES, and we were pleased to see that almost the entire teaser video about this magnificent vehicle featured our SPD-SmartGlass roof. Subsequent articles have focused on our roof as well. 
 GM's all-electric strategy makes this development even more important, and I expect that there will be other car models within GM that use our technology, using the Celestiq program as a platform for development on many other cars within General Motors. 
 Like with Hyundai, the press has been speculating that this car will come out sooner than they expected. Because of this newsworthy event, since then, Research Frontiers has been interviewed by major automotive publications such as Automotive News and Autoline. This past weekend, Wards automotive news, another major publication in the auto industry, featured us and the benefits that we bring to cars, especially electric vehicles. I urge you to check out some of these articles and videos on our website. Fueling these successes were good old-fashioned hard work and determination that has been the hallmark of Research Frontiers, hard work, backed by a very lean and mean operation and supported by the best-performing SmartGlass technology in the world and by large investments in production capacity, automation and by teams of people at our licensees around the world. 
 And none of us let the pandemic slow us down or reduce our determination. Also, there have been firm and important movements of SPD-SmartGlass technology in new areas. One new area was adoption of the SPD into totally new vehicles in the automotive industry. You saw an example of this with the Cadillac's Celestiq. And others that we and our licensees are working on are yet to be announced. 
 Another important new area that we moved into is higher volume -- the higher volume segment of the automotive market. With the lowering of the cost of our technology, new markets in automotive, such as the high-volume mid-level market, are now working with us, and of course, the new fast-growing market for electric vehicles around the world. Also, new aircraft such as the Airbus A220 VIP jet. Airbus has already announced orders for 15 of these transportation category sized jets. Each of these A220 aircraft will have SPD electronically dimmable windows, covering 50 structural windows. 
 In addition to the Airbus A220, there are a number of other new aircraft models that have not yet been announced by our licensees in the aircraft industry, vision systems, InspecTech and Isoclima. Like us, they need permission from their customers to say something, but that does not mean the business with these customers are any less real or the work these licensees did to achieve this, any less impressive. 
 Other new areas are more yachts, consumer electronics and architectural applications. The architectural market uses twice as much of the world's glass as the automotive market. Smart homes and buildings are potentially our largest market, as evidenced by the high valuations that some of our competitors are aspiring for just in this market alone. 
 Let me take a moment to congratulate View electrochromics on ringing the opening bell on NASDAQ on Tuesday. We now have another company in the smart window industry that is on the public market. It will be quite interesting to finally have more information about their operations. 
 And while we're still on the topic of the architectural market, as many of you know from prior conference calls, with the opening of Gauzy's Stuttgart factory in the fourth quarter of 2019 and its ability to make SPD film 1.8 meters wide, this allowed us for the first time to practically address the large potential architectural market. In connection with competitive bidding on some large architectural projects for SPD, we recently learned that we actually have gone from having a size disadvantage, and I refer to the days when SPD films were only coated in 1 meter width, to now having a size advantage over electrochromics. So these are just similar widths as the Gauzy film but have limitations on the height of the window. And of course, the bigger an electrochromic window gets, overall, the slower it gets, with 10 switching, taking tens of minutes with electrochromics compared to 2 seconds with SPD, regardless of the size of the window. 
 I am pleased to announce to you today that since the ceremony to commemorate the opening of their factory in December 2019, Gauzy made further improvements in the efficiency of that line and even has made large investments to expand further their production capacity. I witnessed this first time during my trip to visit Gauzy in December 2020 and saw more of this progress on Tuesday. 
 We've talked about new markets. Next, let's talk about financial stability. Why was this important? Our financial strength and low overhead and operating costs enabled us to survive and even thrive during the terrible world events of 2020. These resources have also enabled us to move forward with firmness. As of the end of 2020, your company had working capital of $5.2 million, including $4.8 million in cash. We continue to have no debt and have been debt-free for 25 years. We have had very steady, low and predictable expenses, and our cash burn now is even lower, down from prior levels to about $400,000 to $450,000 per quarter. So while our cash on hand is 1/10 of the quarterly cash burn rate of our most direct competitor, that still means that we have plenty of cash that will last us at least for the next 33 months. 
 I have emphasized that it is important to us to make sure that we are operating as efficiently as possible to make being cash flow positive easier to obtain. And our expenses have continuously come down. 2020 was the sixth consecutive year that expenses were lower than the year before at your company. We expect this to continue in 2021. 
 Compared to 2019, total expenses in 2020 decreased by over $1.3 million. The company's net loss decreased by $1,468,114 to $2.3 million or $0.07 per common share for the year ended December 31, 2020. This compares to a net loss of $0.13 per share, almost double in 2019. And I want to point out that this was our lowest net loss in 26 years. 
Joseph Harary: Now let me take some other questions that shareholders have sent me. [ Chuck Michaels ] had read it that -- a number of questions, some of which we've covered about Hyundai and about Gauzy. Let me take one of the ones that we didn't cover yet. I have heard that Fisker may be involved in making the Apple Car. I know Fisker has plans for SPD in a future vehicle. Anything you can say about possibly SPD being in a future Apple Car? 
 Okay. Let me address that question. Of course, as you know, we can't announce things before they've announced. And actually, a couple of companies have gotten into trouble pre announcing involvement with Apple. So it's something that everyone in the industry takes seriously. Fortunately, none of those companies are involved with SPD technology that had leaked information. But we have to be very careful. 
 I did say, though, Chuck, that one of the things you can look for in getting an idea of who's working with our technology, and this would be something that would exist often before we have the ability to announce it, is look at the patents that have been filed that mentioned SPD technology. And in fact, Apple has a patent mentioning us that was recently published. 
 Rick                 have asked about the Celestiq and GM's transfer and how it fits into GM's plans for 30 new electric vehicles by 2025 in their new initiative. And also about the relationship between Gauzy and Research Frontiers. 
 As I said earlier, I believe that the Celestiq is just the development platform for a number of other vehicles within General Motors for SPD. And we've seen this happen with other automakers to where a program manager at the automaker will get funding to develop something like an SPD product. And in our case, that's happened several times in the past at Daimler and at McLaren, and then you see it migrate fairly quickly into other cars as well because once it's proven and, as they say, on the shelf within these automakers. They come to use it as a design solution. 
 So yes, I do expect the Celestiq to expand to the other vehicles that GM is introducing by 2025 and especially in the electric vehicle market. And they're not the only one, as I mentioned. 
 You also asked about our relationship between Research Frontiers and Gauzy. It's a very, very close working relationship. We roll up our sleeves and shoulder to shoulder. We work on projects together. These projects sometimes involve automotive. Sometimes, they involve aircraft. Sometimes, they involve architectural. And there's a lot of good collaboration going on between us and the marketing and technical teams at Gauzy, and I must say our other active licensees as well. And they've been a great partner, and we look forward to continuing to be very close with them and work side-by-side with them. 
 Also there, to answer another question we got about some of the recent projects that they've announced for PDLC. 
 Remember, this was their original business. So they're going to have a number of PDLC projects in the pipeline. But for the new architectural projects, SPD is pretty much uniquely designed for these types of smart facades in modern buildings. And that's something that is being presented and encouraged by Gauzy on a daily basis. And their contacts and their relationship with the architects on these projects has been very helpful for us. So whether it's PDLC or SPD, that makes it a lot easier for more and more SPD projects to come online. 
 Some of the other questions we got from investors before the call. Can I comment on Daimler and the S-Class? 
 It's still somewhat undetermined what the future of the S-Class is. Like its predecessor, the one that we were on, the Magic Sky Control option did not come out in the first year of the car's introduction. And this was mostly a marketing decision by Daimler at the time and not due to any technical limitations with SPD-SmartGlass. 
 We still haven't heard definitively from Mercedes about whether Magic Sky Control would become a mid-model introduction on the new S-Class. It most probably won't be on the new SL because the SL is moving to a canvas roof, which precludes the use of any glass in the roof. But I am happy to say that we're working with Daimler for introduction of SPD-SmartGlass in other vehicles, both electric and internal combustion, and using more glass per vehicle than was ever used before. 
 Well, we discussed a lot of exciting topics so far today, and I'll now ask our operator, Paul, to open up the conference for any additional questions people participating today might have had that we haven't already covered. And some of them, in the interest of time, because we do have more to cover in the closing remarks that I think you'll enjoy, we may have to take off-line. But I'll take questions of general interest to shareholders. 
Operator: [Operator Instructions] 
 Mr. [ Ginsberg ]. 
Unknown Analyst: Just one question. Do you expect to appoint a new Chief Financial Officer at some point here? 
Joseph Harary: I don't know. Right now, I'm acting as interim CFO, and our 10-K process was quite smooth. So to be determined. 
Operator: Our next question comes from [ Michael Kay ]. 
Unknown Analyst: Joe, put on your sales person's hat. Let us say, now that... 
Operator: 1
 I always have it on. 
Unknown Analyst: I know. Let's face it. Now that View is -- are they -- when will they be trading as a public company? Do you know? 
Joseph Harary: Yes. They rang the opening bell on Tuesday, and they started trading on Tuesday. And I'll have some remarks about that, too. But as many people know, 2 companies in our smart glass industry went public in the last few weeks, a company called Crown Electrokinetic, a small company. I would consider them development stage. They had no revenues last year; and View, a large company that has about a 12-year history and they have a multibillion-dollar valuation in the public markets now. 
Unknown Analyst: So what I want to ask is if you were -- what would be the competitive advantages that Research Frontiers has over View and this other company in terms of quality of the technology, in terms of price and other factors and vice versa? That is -- would these other companies have any competitive advantages over Research Frontiers that could be attractive to potential users of light control technology? 
Joseph Harary: Sure. Okay. That's a good question. Well, it's hard to compare Crown Electrokinetics because they're not out of the lab yet, as far as we can tell. And they're using electrophoretic technology, similar to what E Ink did. So you have the limitations that were inherent in electrophoretics in terms of using smart windows because that's why you haven't seen them to date. View is using electrochromic-s technology, similar to what Sage uses, and they both have very similar limitations. 
 First of all, you have to coat this on glass. Now you may say, well, what does that do? It means that at the factory, whether it's in Minnesota or in Olive Branch, Mississippi, that's where the glass is made. And then it has to be shipped somewhere in the world to be used. I think all of our licensees know from painful experience that it's much easier and better to ship film and have it laminated closer to the job site than to ship fragile heavy glass throughout the world. So one advantage is that we have the logistics of being a roll-to-roll coated film system that allows you to be laminated close to where high-volume production is needed. 
 Another advantage is that electrochromics take tens of minutes to switch, and that gets even slower as the window gets bigger. We're not size dependent, so it will take 2 seconds or so to switch. 
Unknown Analyst: What about in terms of price? Does View when the other company undercut Research Frontiers in terms of price? 
Joseph Harary: I believe they will -- they are. I think they're subsidizing heavily their bids on projects because they're trying to gain some market share. That didn't seem to work in the past for them or for other licensees that -- not licensees, other competitors that have been down on the road dead basically. You need to build a business that is going to be profitable and have the economics to support it. And I believe that if you look very carefully at some of the programs that are out there, that View was sponsoring, for example, you may see that these subsidies are a lot more obvious. 
Unknown Analyst: And are there certain markets that you and the other company does not go after, that only Research Frontiers go after, like maybe the auto industry or the trains? Or do they... 
Joseph Harary: Yes. No, they're only in one industry, architectural. And I think that maybe shows the importance of that market. If the architectural industry will support a multibillion-dollar valuation for a company like View, and then if you add to that, our bread and butter, which is just starting to be architectural now because of the wider film that's available, but we could also address automotive, aircraft, marine, consumer electronics, just a whole host of other -- museum, just a whole host of other applications that they can't touch. So another advantage there is that we have the ability to go after all of these markets, and we have. And we're well penetrated in this. 
Unknown Analyst: You've invested   to lower the price of SPD. Is that still ongoing? Or are you happy with the   stock   that you reached? 
Joseph Harary: Absolutely. It's going to be ongoing forever. I mean if I look at the retail price that I see quoted today versus 5 years ago, it's maybe 1/3 of what it used to be, and it's getting lower because of the efficiencies of scale. And we know that based on the factory, especially in Stuttgart and its capacity and its efficiencies, that it could be even lower with volume. So I expect costs to come down continuously. 
Operator: Our next question comes from [ Francis Putrevu ]. 
Unknown Analyst: So sorry to hear for your loss. 
Joseph Harary: Thank you. We have a few losses this year. 
Unknown Analyst: Yes, we have. Are there any varying degrees of shades of Research Frontiers? And if there are, how is that actually created? 
Joseph Harary: So we could actually tune -- yes, we could tune our intent from dark to clear, or anything in between by simply turning it a knob or hooking it up to a smartphone, an Alexa speaker, pretty much any control system you could think of, you can control ours and vary the tint incontestably. Some other technologies are really just on or off. We can actually regulate light as well as block it. Good question. 
Unknown Analyst: Yes. But how dark will it actually get? Will it get so dark that you won't be able to see through it? 
Joseph Harary: Yes. So we could block 99.5% of the light with a standard 90-micron film, and some of the films I've seen can go even darker. 
Unknown Analyst: Have you ever combined Gauzy, PLCD (sic) [ PDLC ] and Research film together? 
Joseph Harary: We do. In some markets like the aircraft market, you see that done quite often where you'll combine a PDLC and an SPD film together. 
Unknown Analyst: And what kind of an effect will that create? 
Joseph Harary: It gives you kind of an interesting combination of benefits. One benefit is that regarding that 0.5% of light that's still coming through with the SPD, you're attenuating that. But also, what you can do is you can actually get privacy and still bring light into a vehicle or into a structure. 
 So Mr. Dyson of vacuum fame has a combination SPD-PDLC window on his yacht. And the reason they did that is, let's say, he wants to change is clothes, he wants privacy in his state room where he could change his clothes. But maybe he doesn't want to turn on the lights, maybe he wants to bring daylighting in during the day. So he could put it in privacy mode with the PDLC, or he could use the SPD to block the heat, light and glare coming in. So yes, it's being done in a number of markets. 
Unknown Analyst: And what kind of a cost is involved with using 2 different types of film? 
Joseph Harary: Well, each film has a cost to it. PDLC is actually less expensive right now than SPD. So it's feasible to do that in many markets. 
Unknown Analyst: And one last question. Avery Dennison, what will their involvement be? 
Joseph Harary: Avery Dennison is an investor in Gauzy. Years ago, they were also a licensee and still are of Research Frontiers for its different applications. But their main function now is they make very, very advanced interlayers. So a lot of this came from their acquisition of a company called Hanita Coatings that was in Israel that was really well-known for making a number of different functional coatings, including a number of energy-efficient coatings. So their involvement, I believe, will be to further improve the functionality of SPD film. 
Operator: Our next question comes from [ Thomas McCarthy ]. 
Unknown Analyst: Like everybody else, so sorry to hear about your father. 
Joseph Harary: Thank you. 
Unknown Analyst: Okay. So the lower fees in automotive and aircraft markets were, according to the press release, partially offset by higher fee income from the display market. What can you tell us about the display market? How it's doing, it's growth, it's future anticipated growth? You don't break the dollar amounts out, if I'm correct. 
Joseph Harary: Right, right. Yes, nor can we. I don't think Panasonic would like that. So the market is emerging. So it's something that everybody has very enthusiastic hopes for that this would be a good market, and it's the combination of OLED technology for the display application and SPD to make that more vibrant, especially in the ambient lighting and you see the same thing in what BMW, for example, had at CDS this past year. Actually it wasn't this year, it was the year before, the beginning of 2019 pre-COVID. It was a combination SPD and display technology because lighting conditions are always changing inside a vehicle as you move for different times of the day, and you want your instrumentation to be very readable, just like you want your TVs to be very readable, especially if they're doubling as a window in your smart home. So our technology really allows that to happen for the first time. 
Unknown Analyst: How big a market is it currently? Whether -- what's the thinking about its growth potential? It's -- at what rate is it growing? What can you tell us about that? 
Joseph Harary: The only thing I could really say is that Panasonic is not the only player in this market. And there's some other giants that are also working in this space with us. So I think a number of companies see this as a very large market, but that's all I can go and say at this point. 
Operator: We have a question from [ Art Brady ]. 
Unknown Analyst: Do you have any applications with plexiglass? Where does that fit into the structure of new uses for things like SPD? 
Joseph Harary: We've used polycarbonate or plexiglass and acrylic and other plastics in conjunction with SPD for years. One of the nice things about being a film-based technology is that we're somewhat agnostic to what materials are used in conjunction with us. So you can put a broad range of functionality. So if you -- example, if you are looking at a bullet-resistant window, often, that's a multilayered clad of glass and polycarbonate. And some of our licensees like AGP and Isoclima are very, very good at matching these materials, so you get really good optics on it and bullet resistance. 
Unknown Analyst: Also, Joe, can you give us a little prospective timelines as to when we might hit a positive inflection point? 
Joseph Harary: Oh, I think we're hitting inflection points all the time. I think what you're going to see is as new cars are introduced, you'll see revenues spike up because that's just the nature of that type of business where you're in the automotive industry and you get awarded a program. So you're going to see that. You're going to see new uses, you're going to see big projects in architectural. So all of these things are going to happen. And while we're working, of course, on the top line, the revenue side, to generate revenues in all of these markets, we're also working on the -- below the revenue line and reducing costs so that we become cash flow positive much sooner. And you can see we have a pretty modest burn rate right now, and we've been working at that continuously for 6 years and quite successful at reducing expenses, too. 
Unknown Analyst: Joe, there's a very big opportunity in a concept called smart airports, where airports are actually refurbishing their whole way out. And I'm wondering if you've taken any initiative towards airports worldwide. 
Joseph Harary: We have, we have. Our licensees have certainly done that also. These are structures that use a lot of glass, so it's a natural fit for us. 
Unknown Analyst: But is there anyone out there marketing specifically to them? 
Joseph Harary: Absolutely. Absolutely. 
Unknown Analyst: Is that through Gauzy? 
Joseph Harary: It's through a number of licensees. It's a natural use of our technology. So they're all moving in those directions where they're -- where you can have the lower-hanging fruit, and aircraft -- airports are one of those. 
Operator: [Operator Instructions] And we have a question from [ Bruce Denny ]. 
Unknown Analyst: Again, sorry for your loss. 
Joseph Harary: Thank you. 
Unknown Analyst: I have a couple of questions I'd like you to discuss. In relation to the display market, spearheaded, I guess, by Panasonic, are you getting any feedback on the acceptance into the marketplace, particularly the commercial applications? 
Joseph Harary: We believe it's being well received in all of the markets. They've approached this kind of in a multipronged way. In some cases, you're using it for things like museum exhibits where you want a multimedia experience. If you look at some of the earlier Panasonic videos about the transparent screen product, it was geared towards that and industrial uses and retail uses. So you're seeing kind of a multipronged approach as to how this gets deployed in the marketplace. And Panasonic was supposed to be using this at the Tokyo Olympics. Obviously, that didn't work out timing-wise, the way that they wants it. But they've always been a very big sponsor of the of the Olympics. And especially their home -- their backyard in Tokyo. 
Unknown Analyst: Sure. What about the commercial acceptance? This is a no-brainer for storefronts and stuff. Are you gaining any clear feedback on that? Have they penetrated that market yet? 
Joseph Harary: I wish I had more feedback from the licensees about specific comments in different markets. We just see kind of the raw numbers. So I can't really comment on it. 
Unknown Analyst: I see. And then the architectural market, have you gotten any feedback? Are there any major installations that are being projected now and... 
Joseph Harary: Yes. We're being slipped into some major architectural applications. 
Unknown Analyst: What kind of a timeline would we expect before we see those start taking place? 
Joseph Harary: It varies. The good thing about putting our glass in is that you don't need a lot of lead time. So some of these can be near term, some are more long term, huge corporate headquarter-type projects, showpiece type things. 
Unknown Analyst: Great. So that's really in the offing then. 
Joseph Harary: Yes. I mean -- and there's always slips between the cup and the lip on any project. So it could be timing wise, it could be budget wise or whatever. So the way you deal with that is you just try to have as many irons in the fire as possible at any given time and push on all of them. 
Unknown Analyst: I see. And the last question I wanted to ask is, carmakers working on side windows, rearview mirrors and sun control in the windshield, an embedded visor is what I'm referring to. 
Joseph Harary: Yes. I mean McLaren is the only one that's publicly done then in their speed tail. But there's been a number of other automakers that are -- I wouldn't say playing, they're developing that, is a better term. It's good news because you can do what you want above the AS line of the vehicle. And Wards recently was writing about that -- about the sun visor application and making the top part of the windshield smarter. 
Operator: Our next question comes from [ Leonard Lee Tsao ]. 
Unknown Analyst: Just a couple of questions. When you were speaking about Hyundai early, are they actively using SPD in the cars in Asia now? 
Joseph Harary: I can only say what they've said, which was they've noted that they hope to have SPD in future vehicles. That doesn't tell you much because every vehicle coming out, starting tomorrow, is a future vehicle. 
Unknown Analyst: Yes. Well, as these electric vehicles come out, I think they were looking for '21 being the start of the electric vehicles coming to market and then ramping up quite a bit in '22. 
Joseph Harary: Right. We're going to talk about that a bit more in my closing remarks, if we could defer that in the interest of time, I'll definitely dig into that. 
Unknown Analyst: Sure. The only other comment -- I have is, I know, originally, they were using the visor stuff in the Bell helicopters, as I remember. 
Joseph Harary: Yes.   They're certainly using that  . 
Unknown Analyst: Is that still going on? 
Joseph Harary: Yes, they're using it. A number of helicopter projects -- Isoclima, Vision Systems and InspecTech all have both fixed-wing and rotary aircraft projects going on. A lot of these haven't been announced. So it's -- they're there, but you need permission from the customer to talk about what they're using. 
Unknown Analyst: Well, the easiest way to see it will be in the revenue stream. 
Joseph Harary: Or in your private helicopter, Lenn. 
Operator: We have a question from [ Jared Albert ]. 
Unknown Analyst: I had a couple of real softball kind of questions. If we look back 10 years ago... 
Joseph Harary: I'm sorry, Jared Albert? You don't have softball questions. 
Unknown Analyst: This is a different approach today. If we go back 10 years, there were articles -- there was a lot of enthusiasm about Mercedes or articles about eventually replacing all their traditional sunroofs with SPD. And then all the [indiscernible] to glass, [indiscernible]. And then we went through a period of cost reductions, where going to be the thing that drove it, almost a sufficient condition to get it into the S-Class, the 223 would have been the platform to really take advantage of the volumes, then it would go into the E-Class, and that hasn't happened. 
 But on the last conference call, you surprised me by saying that we would be rewarded. I haven't heard you say anything like that. And I wondered if you could share your thinking on why this time is different rather than the technology having been evaluated, being proved to be reliable and then dying on the vine for automotive applications. 
Joseph Harary: Yes. I think that's an excellent question. So -- and I don't think it's died on the vine. I think the vine is getting resurrected. As I mentioned, we are working with Daimler on other vehicles besides the ones that we've been on or their successors. I think that if you look back at 2010, 2011 when the SLK first came out, there was simply a matter of trying to increase a little bit by a couple of inches, the headroom in the vehicle. 
 Now you're looking at a world which is electric, where 5.5 percentage increase in driving range is huge. So I think one of the things is it becomes almost a necessary feature on every electric vehicle if you're going to compete because battery technology is battery technology. And if you're able to incorporate things that conserve the energy, like an SPD sunroof or side glass or rear glass or sun visor, you're going to have better driving range for any given battery. And I think that's one of the major differences. The other difference is costs have just come down and down and down. And now when you have more than one film supplier. So even though costs have come down and you had competition on the end product side, in the glass laminator side, the Asahis and Pilkingtons of the world, where they were sharpening their pencils. 
 When you only had one filmmaker, that wasn't happening throughout the whole supply chain. Now you have some competition even amongst filmmakers, and that's why I think you've seen such a dramatic decrease in the cost of the technology. So that's, I think, what's different here also. 
Unknown Analyst: So it's really -- it's -- the price is -- okay, I got you. What does spec'd in mean? 
Joseph Harary: Spec'd in is that they want SPD or some switchable in a project. The architect has designated it. Usually, it's designated with such particularity that it's -- when I say spec'd in, you almost have to be SPD. So an example of this would be a project that says we're going to have 8,700 panels of glass that -- I mean a very dark tint, and the tint has to vary in less than 30 seconds -- not much stuff in the world can do that. 
Unknown Analyst: How many steps between spec'd in, in a purchase order? I mean they're not -- spec'd in isn't yet at the level of purchase order, but is it past... 
Joseph Harary: No, it could be, actually. Like I said, to get specified in and then taken out. All of a sudden, you hit a budget snack, you didn't raise as much money as you thought for the project, interest rates went up, whatever. And things change. That's the proverbial slip between the cup and the lift. That happens on every project out there, not just ones that are spec'ng in SPD. So it could mean something very firm. They can mean a strong preference towards SPD. But if someone comes in with something with comparable performance. They'll consider it. But there's not much stuff that has comparable performance to us, which we'll talk about in my closing remarks. 
 I'd like to maybe move on to the next question because there's a couple more in the queue, and I want to give everyone an opportunity to ask. And then, to the extent I haven't answered the question, Jared, we could take it offline and can respond to anything you have. 
Operator: Our next question comes from [ Dennis Level ]. 
Unknown Analyst: I'm doing fine in the Tundra here. I was wondering if you could address the screen market, i.e., laptops, cellphones, tablets. I think that Panasonic is doing it on TVs. Is there a potential application in that marketplace? 
Joseph Harary: There are potential applications, and there's some positives and negatives to put in any switchable. So one of the things that people have realized is that any kind of camera that happens to be in your home is hackable. So a lot of times now, there's talk of putting a privacy filter over the camera lens, so that you can turn it off. So even if someone hacks into your phone, they can't see what the phone is pointed at, or the other devices like your Amazon Alexa speaker or something like that. 
 On the negative side, any kind of switchable tint is going to attenuate light. So if you're trying to get a very bright display, it will be good in outdoor conditions. You're going to definitely be able to control the glare coming in from ambient light. But you're going to reduce the glare -- the light coming through a back way. So it's something that requires kind of thought and engineering to put it in something like a cell phone. We're funding our real sweet spot, though, is, Dennis, is that when you have something that is a -- where there's a transparent material, think of a wall -- a window that turns into a TV, that's what Panasonic is doing. Or a heads-up display on a windshield, that's what BMW is doing. Those are the kind of things where you really need something like an SPD, and there's no -- they don't have the same trade-offs that I was talking about before. They're all positives. 
Operator: Our next question comes from [ Paul Tadros ]. 
Unknown Analyst: I have a question about the payback period for a typical, let's say, commercial install. And then the second question is, are you all working with local governments to try and get like subsidies or tax breaks to like do that install? 
Joseph Harary: Right. Okay. Excellent questions, Paul. So in terms of working with local governments, we do have entrée into some of the people that are already building coats and things like that, which is helpful. Even if you're not mandated, you're often encouraged to use energy-efficient technology. And here in New York, our mayor was talking about windowless buildings at one point because of the energy efficiency of not having windows to look out of. And my reply to that, my rebuttal and also, Rao Mulpuri, the CEO of View, had the same opinion in an editorial he wrote, is, no, no, don't make these things without windows. Make the windows more efficient, make them smarter. He's 100% right that, that's the way to do it in these things. 
 Now you start to go into payback, and payback is a really interesting discussion because, of course, there's going to be energy paybacks. You're using a smart window. And it's not just the energy you're saving through the window, okay? And I'm not denigrating that. We have amazingly good solar heat gain coefficients on our windows. 
 It's also the interplay between the window and interior illumination, both hardware and energy costs. So if you bring daylighting into a building, while the window itself may be about 18% to 20% of the building's energy signature, it's coming -- or usage is coming from energy leaked through the windows, about 25% to 35% is coming from illumination. So think about building a building where you put in a lot of lighting because you have very heavy tint on your window. Well, you're going to spend more on the hardware, get more lighting and you're going to spend more on the energy. 
 Imagine if you could change that dynamic, where with just a flip of a switch and very little power, you're making the window much clearer, so you're bringing in daylighting when you want to let in more and be energy efficient, and then take it one step further. If you're in the Northeast, you're designing your buildings to be efficient in July and August, the peak summer months. So you have your mechanical rooms being much bigger than they need to be. And for 10 months out a year, you're building mechanical equipment that's working at 30% efficiency. So you can have those benefits, too. So it's a very complicated, but I think intuitive process that you're going to have these paybacks in switching to a dynamic system. 
 And then from there, you talk about performance. Is it better to have a faster switching window? Yes, it's always better to have real-time adjustments. So switching in 2 seconds gives us a real advantage in that market. 
 Is it better to have a uniform tint? Electrochromics don't have a uniform tint. What they'll do is they'll start to change on the outer edge of a window and move their way in, and that's kind of a little bit of a funky visual effect. 
 So if you could have something that's very uniform in the switching, that's also more aesthetically pleasing. 
Unknown Analyst: Okay. So could you give maybe -- let's say, a 15-story building in Manhattan gets a bunch of sunlight, what would the payback period be in years, let's say, if they're using... 
Joseph Harary: It really depends on what's there, what the exposure is, what the usage is. One of the challenges the government has had is trying to model these things because take 3 buildings that are exactly identical. So same exposure, same size, et cetera. One is a retail environment, one is a law firm and one is an accounting firm. So the law firm, you're going to have people working from 8 a.m. to midnight, okay? The accounting firm, you have people coming in and out because most of the work is done in the field, and the retail store is also a different dynamic. How do you model what the energy efficiency is on that? And that's kind of one of the variables that you have to factor in, what is it being used for? What's the use of the building? 
Operator: We have a question from [ David Klin ]. 
Unknown Analyst: I was wondering, there's a lot of different technology or uses of the technology that have been called out from you guys, and there's a lot of stuff that people are really kind of trying to wrap their head around. Are there any uses for the technology coming that Research Frontiers hasn't shared, or that you think would really surprise us in the next year or so? 
Joseph Harary: I was totally surprised by Panasonic's innovative use of our technology. So yes, I think there's always going to be things that are going to surprise even some of us that think about this stuff, 24 hours a day, 7 days a week. But I think also, what surprised me maybe more practically is we, for the last 4 years or so, we've been talking at industry conferences about increasing the driving range of electric vehicles. But electric vehicles really have an accelerated production or become mainstream until late last year. So some of the things that surprised me is how fast some of these uses are coming up, like electric vehicles, and we'll talk about that in the closing remarks. 
Operator: And our last question comes from [ Robert Shapiro ]. 
Unknown Analyst: I also heard in the architectural market, what you say [indiscernible] glass your automotive market. Are these both in new construction and retrofitting? 
Joseph Harary: We could do both. Yes, we could do both. And some of the things we're talking about are retrofits, and some of the things we're talking about are new blasting installs. 
Unknown Analyst: This seems to me that the government is going to be encouraging in a great, big way. The energy efficiency building. So that's why I was curious about how that should in those markets. 
Joseph Harary: 100% right. 100% right. And also, when you consider that most GSA buildings, the government buildings are using monolithic old glass, there's really a lot of room for improvement there. 
Unknown Analyst: Which segment would you say has the highest margins, if you can make that determination? 
Joseph Harary: Well, the same film goes into aircraft, the automotive and architectural. So in terms of the film, it's the same price, but the price of a bolt-on an aircraft is more than a bolt-on in office. So probably the highest margin is in aircraft. You would think that automotive, where there -- the purchasing guys are usually pushing pennies would be the least likely market for our technology, yet it's our biggest revenue source. So... 
Unknown Analyst: Currently? 
Joseph Harary: Yes. It's currently. So it's going to be it's going to be something where there'll be good margins for our licensees and with volume, the cost of the consumer will come down, but everyone will make money. 
Unknown Analyst: Glad to hear that. 
Operator: And we have one additional question from [ August Berman ]. 
Unknown Analyst: I just had a couple of questions. It seemed like Rivian was a [ sure win ], just based upon seeing it in person. Are we -- were you surprised to not see it? Or just based upon the conversations that I've seen on message boards and such, it kind of seems like Rivian was planning on doing something with the SmartGlass and then kind of at the last minute decided not to go ahead and do it for their introduction in the summer. And then there were some comments like, "Oh, well, they have a UV coating that can do a similar job. And in my opinion, maybe I'm biased, as I own shares of your company, but I would think, hey, I would want my glass to be able to switch. I don't want to just have a fixed tint. Can we get smarter? Any clues in terms of why they didn't go forward with the SmartGlass? 
Joseph Harary: There's a -- yes. So number one, the last CES I went to in 2019, SPD was there with an Amazon Alexa Control System. So it's pretty cool. And I sat there with RJ Scaringe, the CEO, and we were chatting about the use of it, and it was very much in the plans there.
 What happened between there and their decision to super simplify the roof. I mean they're not even offering that much of a variety of roof options on the car. It makes me think that the pressure of putting a car out is really great. There's tens of thousands of parts that have to be in there, and there are systems that have to work with other systems. And sometimes, you just need to simplify your life, at least in the beginning until you get your head above water. And that may be one of the things. And yes, there might have been costs. Although costs have come down quite a bit there. 
 And you're right, UV coating and IR coating will not duplicate the energy efficiency of an SPD. So you're not going to get as good of a tint. And I think there are some examples where Tesla has painfully learned that, that they've tried to do roof systems that have no shades, and they tried to rely on just the tint of the glass and the coatings on the glass to do it, and it's been a disaster in the field. So I think carmakers are not infallible. They have to learn. And it could also be that they decided that SPD is the right technology, but won't be in the beginning introduction of the Rivian. 
Unknown Analyst: Got it. And then I would like to just ask one follow-up question on another matter. Do we know if Daimay has finished kind of their trial and kind of just figuring out the platform for the visors? 
Joseph Harary: I think they have the platform because when we signed the license agreement, they already have a launch customer for it. So it's just a matter of engineering and refinement, engineering and refinement and coming in at a cost that the launch customer feels comfortable with. So it's an iterative process. 
 Okay. I'd like to now make some closing remarks since we don't have further questions in the queue. Over the past few months, we've had the opportunity to get a more detailed look about whether -- what other people in our industry are up to. 
 As I mentioned, one use is electrophoretic technology, similar to E Link's, has no revenues in the last fiscal year. And the other net comparable revenues in 2018 and 2019 has SPD's revenues from our licensees, yet they managed to lose $441 million in 2018 and $290 million in 2019. And in 2020, it looks like they'll only lose between $200 million and $250 million and maybe lose another $250 million over the next 2 years. So their net loss is about 100 to 200x greater than ours. And they went public through a stack transaction that's valued in multibillion valuation. 
 So when you start comparing companies, if you start comparing business models. And believe me, I can't tell you how busy we've been fielding calls from new investors in our company who are asking about how we compare to companies like View and Sage, not so much Crown Electrokinetics, but I'm sure that we'll get those questions too at some point. It becomes really apparent that from a performance standpoint, switching in 2 seconds and having a uniform tint switch is better than taking 20 to 40 minutes to switch and having it not be that uniform. 
 Having a look at their business model and their expenses, I think, really validates the wisdom of what we did, which is broadly licenses to the major glass companies of the world and have them do the heavy lifting and do what they do best. And where we're sitting now as a company with 6 employees, a very, very modest burn rate and orchestrating, through our relationships and through our intellectual property, hundreds, if not thousands of people around the world that are not on our payroll. So I think that if you just look at relative business models and approaches to the smart glass industry, you're going to see that Research Frontiers certainly has a lot to offer. And it's a very positive development for us as a company to have, finally, another company with a public valuation as a reference point in the smart window industry. 
 And I think as Michael Kay pointed out, they're only in 1 of the 5 markets that we operate in. So we're pleased that shareholders will have a basis of comparing value and operational efficiency. Also, in terms of performance and stability of our operations and efficiency of building value for our shareholders, I think they're going to view us very favorably. There's some noise in the background. Maybe someone can mute themselves. Or Paul, you could mute everybody but me. Thanks. 
 And because of the 5 markets therein, our prospects are quite good for delivering vastly more value to our shareholders, especially when one considers the rapid expansion of the market for electric vehicles and energy-efficient building. Once again, in automotive, aircraft, yachts, consumer electronics and now even in the architectural market, where we're being spec'd in, when customers want the best-performing and best-quality windows, they're selecting SPD-SmartGlass. In the last year, we've doubled the number of automakers who are putting SPD-SmartGlass in their cars. Two new automakers made public moves towards adoption of SPD, and one of the world's largest aircraft manufacturers did the same, and additional ones are yet to be announced. 
 There are many things that we can say that no one else in our industry can say. We have the only smart shading technology that has survived in real-world applications since 2001. Yes, that's 20 years, folks, of real-life durability data. We have the only variable shading technology that is put into a high-volume, serial production in the automotive industry. We were the first electronically dimmable window in the aircraft industry. We are the only variable shading technology that has been put on commercial aircraft since 2008. We're the only variable shading technology that has been used in tens of thousands of applications worldwide. We believe that we have the most installations in the field worldwide. We're the only switchable shading technology that has been used in the world's fair and architectural applications. In fact, the architect of the U.S.A. Pavilion replaced our competitor's electrochromic glass with ours for that project when he saw the favorable combination of cost and performance of our SPD-SmartGlass. And that will add over 6 million people to see and operate SPD smart windows. 
 We are the only switchable shading technology that has multiple sources of supply of smart windows so that customers can choose who they want to supply it. We were the first switchable shading technology to be used in commercial and residential architectural applications. We were the first switchable shading technology to be used in yacht applications. We are the smart shading technology that has survived the longest in demanding environments, such as automotive and aircraft. We are the only automotive smart glass that has not -- no reported problems across tens of thousands of cars, especially when put in the most environmentally demanding position on the car, the sunroof. We are the first shading technology to be controlled by a smart speaker such as Amazon Alexa or a smart plug or a smartphone or automatically by a photocell or other light or motion-sensing device. 
 We are the only film-based variable tint shading type system in the world in commercial production, with annual coating capacity of 1.4 million square meters per year in multiple locations. We are the only smart shading technology that can be used in a very long or very tall architectural windows. We are the only variable tint shading technology in commercial production that does not have this uniform iris effect in switching. We are the only variable tint shading technology in commercial production that does not get slower as it gets larger and can switch in 2 seconds. We are the only variable shading technology that can avoid the shipment of fragile, heavy glass overseas. We talked about that earlier. Lamination can be done locally wherever the customer is. 
 More firsts. We're the only smart glass technology that gives customers a wide choice of which glass company to work with. We're the only smart glass company that has been adopted by multiple automotive manufacturers. We're the only smart glass technology that has adopted for use as standard equipment on electric vehicles. We're the only smart glass shading technology that has been adopted for use in automotive, aircraft, marine, architectural, museum and consumer electronics. We're the only smart window technology that has been given -- giving public investors full disclosure about its operations for over 34 years. 
 Will other people try to enter this industry? Of course, and they're doing so now and hoping for lofty public valuations. But only we can say all of this. Years ago, I challenged any competitor in our industry to give the full disclosure about their projects. Our release participate in a head-to-head, side-by-side comparison. I'm still waiting for one of these companies to accept my invitation. And we're obviously not sitting still while we wait. For the past several years, we've been publicizing the benefits of SPD-SmartGlass to multiple industries. 
 The world is going green. We make buildings and their internal HVAC and illumination systems more energy efficient. We make people safer, healthier and more comfortable. A number of recent projects in the architectural building space have unique designs that are enhanced and sometimes only possible using smart glass. In the past, it was brand-new startup car companies like Tesla and BYTON and Fisker and Lucid. Now it's mainstream with well-known and established automakers. This year alone, we have seen announcements of all-electric or significant electric model lineups coming from General Motors, Ford, Jaguar, Bentley, BMW, Volkswagen, Daimler, Audi, and the list keeps growing and growing. Last week, Volvo announced that it too was going all electric. 
 Car and Driver magazine made a list of all of the electric vehicles coming out. The article is 52 pages long. The world is going electric, and our SPD-SmartGlass technology will make those cars travel further on a charge, enhance safety, increased comfort and give drivers and passengers alike an unforgettable driving experience. We will very much be part of that electric vehicle future. And as our investors, you too will be part of that future. 
 Thank you, all for your support while we focus on this. Have a good evening. 
Operator: This concludes today's conference call. Thank you for attending.